Operator: Good morning to all. Thank you for standing by, ladies and gentlemen. And welcome to Tsakos Energy Navigation Conference Call on the Fourth Quarter 2024 Financial Results. We have with us today, Mr. Takis Arapoglou, Chairman of the Board; Mr. Takis Arapoglou, Founder and CEO; Mr. Paul Durham, Chief Financial Officer; Mr. George Saroglou, President and Chief Operating Officer; and Mr. Harrys Kosmatos, Co-CFO of the company. [Operator Instructions] I must advise that this conference is being recorded today. And now I'd like to pass the floor over to your host, Mr. Nicolas Bornozis, President of Capital Link and Investor Relations Advisor to Tsakos Energy Navigation. Please go ahead.
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. I'm Nicolas Bornozis, President of Capital Link and Investor Relations Advisor to Tsakos Energy Navigation to TEN. This morning, the company publicly released its financial results for the 12 months and fourth quarter ended, December 31, 2024. In case you do not have a copy of today's earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com and we will have the copy sent to you, e-mail to you right away. Please note that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please, we urge you to access the presentation slides on the company's website. Please note that the slides of the webcast presentation will be available and archived on the website of the company after the conference call. Also, please note that the slides of the webcast presentation are user controlled and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I would like to read the safe harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned, that such forward-looking statements involve risks and uncertainties, which may affect TEN's business prospects and results of operations. So before passing the floor to the Chairman, I would like to congratulate the company for the transformational milestone transaction to build nine shuttle tankers with secured 15 year employment. This transaction solidifies TEN's profitability and growth for many years ahead. And by the way, it also proves how TEN's prudent capital allocation has enabled the company not only to move fast to close this transaction, but also to finance the equity portion required at this stage with your own funds without stretching the company's balance sheet. And now at this moment, I would like to pass the floor to Mr. Takis Arapoglou, Chairman of Tsakos Energy Navigation. Please, Mr. Arapoglou go ahead.
Takis Arapoglou: Thank you. Thank you, Nicolas. Good morning and good afternoon to everyone. And thank you all for joining our call today for the fourth quarter 2024 and full year 2024 results. As you've seen, excellent results from a market that continues to demonstrate strong fundamentals. A record 21 vessel expansion that will result in a fleet pro forma of 82 vessels and $4 billion of contracted fixed revenues confirming the unique and robust industrial model of TEN. The milestone 9 DP2 shuttle tank deal worth $1.3 billion with Transpetro, firmly establishes TEN among a very select group of leaders in the shuttle tanker business, and demonstrates once more the commitment we have in servicing the needs of our customers. Fully justifies our strategy of maintaining ample liquidity and it also shows that it allows us to comfortably enter into such accretive mega-sized transactions. The sale of one more of our oldest vessel generates again, cash for the company and the S&P activity of TEN in this front, will continue in order to maintain a young fleet and generate additional cash. All this, I think confirms the textbook nature of TEN's management that allows it to continue paying dividends uninterruptedly, since inception, oblivious, I would say, to the cyclical nature of the market. So once again, congratulations to Niko Tsakos and the team for this excellent performance, which no doubt will continue keeping TEN in the forefront of the energy transportation business going forward. So thank you. And over to Nikolas Tsakos. Thanks.
Nikolas Tsakos: Yes, good afternoon and good morning to everybody. Thank you for your good words. The recent period has been a milestone period, as you mentioned for the company. It's one of those periods where will up flip up to our next stage and we've done that back in 2007, when we became the largest ice-class operating fleet in the world and a few years later in 2014, we became the largest operator for Equinor, one of the most prestigious and demanding end users in the world. Last year, we became the largest dual-fuel vessel operator just helping our greener side of moving our vessels and keeping our environmental footprint in-line, and that was by the acquisition of a large fleet of modern dual-fuel vessels. And the Brazilian transaction, as we call it, big in Brazil is a transaction that puts TEN in -- and makes TEN for sure the most modern view -- the most modern big shuttle tanker operator, DP2 operator, with -- and it complements our existing fleet which we started in 2012 with four vessels already in the water, three being delivered very early, next month. So we have April, July and then in '26. All the vessels are being built, I would say, in the most superior shuttle tanker at South Korean yard. We have to compete in partnership with -- as inferior or lower rates, more competitive rates than us, but they were building ships in other yards in the Far East, including China, where the expertise was not there. So our experience, our long-term commitment to the segment, our training center, which is the only one that produces seafarers with accreditation from the Nautical Academy of the UK, and has given us the chance to be successful in achieving a positive result. But in the meantime, we were still running business, always looking at extending -- extended 21 new businesses with our major oil companies. As you may know, about 70% of our business is held by the 6 or 7 very prestigious end users. We try to avoid employing our ships to operators or traders. We do sometimes on the spot market, but long-term, we focus on the people who know and appreciate our services. Also we have been active and will still be active in the S&P same purchase market. Just yesterday, we delivered one of our 2009 built for the Suezmax for a capital gain after so many years since 2009 and $40 million -- $30 million of cash. We're also in the market for two more similar transactions from now up to the end of the second quarter. So in the meantime, we do not lose track of the day-to-day business. And the fundamentals are very positive. We are a company that has perhaps right now the largest newbuilding program for many of our peer group, a very specialized 21 vessels program, all of our program is financed and a significant contribution from banks to finance. So one thing I have to make clear, we've been always criticized for keeping enough cash, but when transactions like this are there, we can achieve those transactions much better than any of our peer group without really putting strain on our balance sheet or ever having to use to raise equity. So this mega transaction is fully financed by debt and equity and bank debt, which is competing at very attractive terms for our business. Still one -- I have to say, I'm very proud about our team. It has been a very international global transaction that we were able to achieve. What we are still disappointed is that our share price is half of what it was a year ago when I was here in the United States and our company was much smaller. Our company has done much less prospects right now with 21 vessels, a 36% dynamic expansion. 82 vessels in the water very soon. And we have doubled our medium to long-term receivables from $2 billion to $4 billion within the last 2 months with these transactions. Well, we hope as the major shareholders here who know the value of our company that very soon our share price will be where it should be, I mean, our book value is in excess of $3 billion. However, what including the new transactions. Our market value is even higher than that and our net debt is 1.5. So if you divide this by 30, you should see that the comfortable level where our share price should be should be closer to $15 than $16 or $17. But again, we know the value of our company and hopefully others will identify that it is 32 years of continuous dividend as the Chairman said is going to grow for at least another 30 years. And with that I would ask Mr. Kosmatos or George to please give us -- Mr. Saroglou, our President to give us his detailed report. Thank you.
George Saroglou: Thank you very much, Nikolas. We are very pleased to report today another profitable quarter and profitable year. There is a slide presentation that we will try to follow. You can look at it later on as well. Let's go straight to Slide number 4, which shows the growth of the company since inception in 1993 in terms of deadweight tons. As you can see here, we have done every major crisis the world has faced into a growth opportunity for TEN, thanks to our operating model. We have a countercyclical approach in investing in fleet growth by raising equity when we need it, which is usually at the bottom of the tanker market and not usually when our share price is at the top in order to fund growth projects. This is what Slide 5 shows. The strategy has served us very well so far. In blue, you see the equity offerings in common shares since 1993. In red, the offerings we have in preferred shares. And as you can see, since 2013, we have issued 6 series of preferred shares. And we have already redeemed as we speak, 4 of them at par. But the 4 that we have redeemed have a par value of approximately $225 million. We have announced today a major transaction in the shuttle tanker sector. And this is a milestone deal with Transpetro Petrobras in Brazil. We are building 9 state-of-the-art DP2 shuttle tankers that we can complement the four that are already in operation. And three that we are building for a total pro forma shuttle fleet of 16 tankers. This is a landmark transaction that makes TEN one of the largest shuttle tanker operators in the world today. And all 16 vessels are fixed on long employment to major energy companies, including, of course Transpetro in Brazil. Since -- in the last two years, since January 1 of 2023, we have upgraded the quality of the fleet by divesting from our first generation conventional tankers, replacing them with more energy efficient new builds -- new buildings and modern second hand tankers, including dual-fuel vessels and we are very proud to have today one of the large -- being one of the largest owners of dual-fuel LNG powered Aframax tankers with 6 vessels in the water. Slide 6 lists the conventional pro forma fleet divided between crude and product tankers spreading from large VLCCs to the smaller handy sized tankers. We have 9 new buildings that we expect to take delivery from the second quarter of this year until the third quarter of 2028. And you see various colors in this slide, the red color denotes the new building vessels, but also the vessels that we operate today in the spot market. With dark-blue, we leased the vessels under fixed time charters and with light blue the vessels with time charters with profit sharing. In the next slide, which has the pro forma specialized fleet, we've leased the 16 shuttle tankers and on top of that slide, we listed the company's 2 LNG carriers. If we combine the 2 slides and account only for the current operating fleet of 61 vessels, 29 vessels or 48% of the operating fleet has market exposure to the port and time charter with profit sharing by 51% or 84% of the fleet is in secured revenue contracts which means time charters and time chartered with profit sharing. Our biggest clients for both conventional and the specialized segment of the fleet are the names you see in Slide 8. These are blue-chip names with whom we do repeat long-term business. The largest client of all today is ExxonMobil without yet accounting of the deal that we announced with Petrobras in Brazil. The left side of the next slide, shows you the all in breakeven cost for the type of vessels we operate. We have a simple operating model. We try to have our time charter vessels generate revenue to cover the company's cash expenses, which means paying for the vessel operating expenses, finance expenses, overheads, chartering costs and commissions, and we let the revenue for -- from the spot trading vessels contribute to the profitability of the company. Thanks to the profit-sharing element, every $1,000 per day increase in spot rates has a positive impact of $0.12 in the annual earnings per share based on the number of TEN vessels that currently operate in the spot market. And with that, I will pass the floor to Harrys Kosmatos, who will walk us through the financial performance of the quarter and the year. Harrys?
Harrys Kosmatos: Thank you, George. Thanks. On behalf of our CFO, Paul Durham, myself, hello and welcome to our call. During 2024, TEN's fleet averaged approximately two vessels more compared to 2023, reaching 62 vessels in the water. As a result of the divestment of 5 older tankers, 2 Suezmaxes, 2 Aframaxes and one LNG carrier and the acquisition and/or delivery of 9 vessels, namely 5 modern tankers from Norway's Viken Crude. The repurchase and termination of 2 sale and leaseback transactions involving 2 Suezmaxes and the delivery of 2 dual-fuel LNG Aframaxes. Despite this fleet increase during the year, 15 vessels underwent scheduled drydockings, while 3 performed repositioning voyages, all of which led to average fleet utilization for the year to settle at 92.5% from 96.3% in 2023, a still healthy level nonetheless. Resulting from the above and combined with the somewhat softening tanker market, TEN still generated $804 million in gross revenues and $279 million in operating income, the latter after $49 million in capital gains from the sales mentioned above. TCE per ship per day during the 12 month period, which was naturally impacted by the drydockings settled at a still healthy $32,550, thanks to a large extent the number of operating days and long-term secured revenue contracts corresponding to the long-term needs of our clients, 82% in 2024 compared to 77% in 2023. As a result, net income for 2024 was at $176 million, equating to $5.03 per common share, and adjusted EBITDA for the year at $400 million. Fleet operating expenses of $198 million modestly increased in line with the larger number and size of vessels in the fleet after the various acquisitions and divestments during the year. Operating expenses per ship per day, however, were about 3% lower from the 2023 levels at $9,350, thanks again to efficient management performed by TEN's technical experts onshore and on-board the vessels. Total debt and other financial liabilities at the end of the year were at $1.8 billion, which compares favorably to both the book and fair value of the fleet, $3 billion and just about $4 billion at the end of the year respectively. At the same time, net debt to capital remained at a comfortable 45%. Interest and finance costs for 2024 and reflecting the larger fleet size, both in terms of vessels and vessel types as well as continuing elevated global interest rates despite recent costs was at $112 million from $100 million in 2023, a manageable increase. However, this inevitable and controlled cost increase was nullified as a result of the $4 million in reduced preferred coupon payments from amounts paid during 2023, $5 million in savings in forward variable hire from the repurchase of 2 Suezmaxes on leasing contracts in the summer of '24 and $50 million in interest income. Cash on bank as of December 31, 2024 was at just under $350 million. A very healthy level despite having paid $258 million for common and preferred dividends, growth projects and the exercise of the above leasing repurchase options. Results for the fourth quarter of 2024 were equally attractive considering that 4 of the 15 vessels that underwent drydocking during that year happened in this quarter. A fleet of 62 vessels as opposed to about 60 in the fourth quarter of 2023 generated gross revenues of $188 million, an operating income of $42 million compared to $220 million and $57 million in the fourth quarter of 2022, respectively. Unlike the 2023 fourth quarter, no impairment charges were recorded during this 2024 fourth quarter. Fleet operating expenses for the fourth quarter of 2024 and despite the four drydockings mentioned above in the larger fleet size were at $51 million, just $1.3 million higher than 2023 fourth quarter level. However, operating expenses per ship per day were marginally lower from the 2023 fourth quarter at $9,480. TCE per ship per day closed the quarter 3.2 times higher the above OpEx number of $30,107. The resulting net income for the fourth quarter of 2024 was up $19.3 million, producing EPS of $0.42, reflecting the somewhat softer market driven by lower and oil imports, lower fleet utilization compared to 2023 fourth quarter and the $4 million increase in depreciation and amortization charges the larger fleet entailed. Adjusted EBITDA finished the quarter at $85 million, supported by the aforementioned results. TEN is in line and in line with the semi-annual dividend policy will pay a common stock dividend of $0.60 in July 2025, identical to the level paid in July 2024. In ending, it is pertinent to highlight what George mentioned earlier, that TEN today is facing -- is undergoing its largest growth phase in its history with 21 vessels on order, 9 of which the DP2 shuttle tankers on 50 year contracts with Petrobras as recently announced, which in the long run contributed double intense minimum revenue backlog from $2 billion to $4 billion, while turning us into one of the largest shuttle tanker owners in the world. And with this, I'll turn it back Nikolas to for the closing remarks. Thank you.
Nicolas Bornozis: Well, thank you, Harrys for including the details on and some -- putting some numbers on the board. And as we said, it is a very significant period of growth. We are starting the delivery and yesterday was the very successful ship trials. And I don't know if you guys have a picture, it was received overnight from South Korea, from the Athens 2004. The first of the two total energy vessels to be delivered on April 20, followed by the next one in -- on June 20, which will be the Paris 25 to 2024. So we're keeping our Olympian names for those state-of-the-art ships. And those will be identical sister vessels to the ones that we were going to build in South Korea, which might have a significant higher cost than other yards between 20% -- 15% to 20%, but there are ships that are going to be with us for a very, very long time. The TEN approach, we were just sold yesterday, it was another Samsung vessel, which from 2009 and the new buyers were very impressed with the condition. And then the next is the Anfield, it seems we have a big Liverpool fund crowd when she was named, and she will be delivered in 2026. And as soon as those ships will be in the water 2027 and 2028, identical sister vessels, upgraded versions, environmentally friendly ones are going to follow. So it's going to be a very exciting period. Very accretive transactions that will add at least -- will almost double our EBITDA when the company will be in full force. As I said, we are, we are a company -- we are the company with the lowest or I would say, let's put it positive with the highest concentration of Japanese and Korean vessels more than 90% of our vessels are Korean and Japanese. And if you put on deadweight tons -- in deadweight terms, it is at 95%. We have always been delivered, but quality has a cost, so that's why we have this results as we speak. And with that, I would like to open the floor for any questions. Thank you.
Operator: Thanks. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Poe Fratt with Alliance Global Partners.
Poe Fratt : Good afternoon. Congratulations on the shuttle tanker deal getting all 9 done. I had a question about the structure of the -- how they're going to be operated. My understanding is that Transpetro is going to be, providing the crews and operating the trans -- the shuttle tankers under a bareboat charter. Is this the first time they've done this? And do you think - what's their capacity to be able to provide the crews for those? And then is there a potential where you would, if they can't provide the crews by 2027, would you be able to step in, and do the crewing on those - shuttle tankers?
Nikolas Tsakos : Well, I have to say that a very, very correct and to the point operational question. And I think yes, you're very right. They have been operating, as I said, currently we have 4 vessels working for in Brazilian waters in, which we also train in our Greek and Rio facilities Brazilian crew. The lack of highly educated, or trained seafarers is a global phenomenon. It's not just in Brazil. And that's why companies like us, we have our own, we run our own academy, so we take the young men and women, quite a big number of women, which is, I would say, untapped source of seafarers. Just more than 5% of the world's seafarers are women. And we train them from 18 up to when they enter service. So there is a very good probability that we will closely cooperate with Transpetro. And I would say one of the reasons that we will award, to - our surprise initially, but for many surprise, all 9 vessels is our reputation and capacity to run those ships. So as we visiting very often that part of the world, with our team and our aim is to closely cooperate in actually running those ships, which will be a pleasure for us, and it will be very prudent for us, because we will be able -- make sure to maintain our investment in the quality that we would like to. So the short answer to your question is yes.
Poe Fratt : And then on the asset sales front, it looks like you sold, the Pentathlon Suezmax at -- 2009 vintage. You had 4 older Suezmaxes that are older than 2009. You talked about two potentially pending transactions. Can you give us some flavor on, what assets might be under contract right now to be sold in the second quarter?
Nikolas Tsakos : Yes, I mean, you are correct. Some of our older ships, however, they are chartered long-term to the major rail companies like Exxon and BP, because of their ice-class features. They get a significant premium for almost the 20 years we operate them. But there could be candidates age wise, although they are in excellent condition. And then we have the, our first generation Aframax, and the 2007 and 2008 ones. And we expect to be able to net close to $130 million, including the recent outflow of net proceeds for the same. So that's why I said the mega transaction, because of our strong liquidity and the sales of ships that are coming would not affect our balance sheet, it's fully funded. There is no requirement for raising equity, and we will still maintain a very, very strong liquidity going through that. So we will be looking for the first generation Aframaxes and Suezmax going forward.
Poe Fratt: Great. Thank you.
Nikolas Tsakos : Thank you very much.
Operator: [Operator Instructions] Our next question comes from Climent Molins with Value Investor's Edge. Please proceed with your question.
Climent Molins : Hi, thank you for taking my questions. I wanted to start by following up on Poe's question on selling the other side of the fleet. You mentioned decision only to make space for new ecofriendly vessels. And I was wondering, generally speaking, does that refer to the vessels you have already ordered, or are you looking into adding additional tonnage over the coming months?
Nikolas Tsakos : I mean, we are always looking at strategic opportunities, but I was referring to the 21 vessels that we have ordered currently. And I think we are the -- we have currently the largest renewal program, for many of our peer group going forward.
Climent Molins : That's helpful. Thank you. And shifting toward the recent shuttle tanker orders, is there any appetite to hedge the interest rate risk on the financing you secure for the shuttle tanker?
Nikolas Tsakos : Yes, that's a very good point. And we have a desk of two very stingy gentlemen sitting in our Treasury Department looking on a daily basis, to find ways to make refinancing even cheaper? So yes, we are looking on a daily basis. They are proposing to me, and to our CFO various structures that could cap interest rate uplift, or yes I mean, we are very, very focused on that part of the business.
Climent Molins : Makes sense. Thank you. The Maria Energy is coming off contract in May. Could you talk a bit about how you plan to employ the vessel going forward? Are you willing to lock-in a term contract despite the mediocre rates offered for LNG carriers? And secondly is the sale of the vessel potentially in the cards?
Nikolas Tsakos : Well, what was the other point about the cards?
Climent Molins : Whether you could consider selling the Maria Energy?
Nikolas Tsakos : Perhaps, yes. Just to impress the Maria Energy. The name of my late sister, is one of our luckiest ships. The vessel is fixed forward from May 2026, for 12 to 15 years at a very, very, very accretive rate to a major end user. So what we have to do from May until next May, is to cover a year of her operational, before she's going to be delivered to a very, very long employment. That actually will take her to the end of her life earning humongously high double-digit IRR and repair of that when we build the ship. We never calculated it would be as big as that. So perhaps we have not communicated that yet to the market. Perhaps we did it a long time ago, but she started from 2026 to 2040. I think that is over my retirement age, but I'll be following development.
Climent Molins : That's very interesting and helpful. Thank you. And final question from me. I wanted to ask about the dividend you reiterated, last year's $0.60 semi-annual distribution. And I was wondering, should the market improve going forward, would there be any appetite to potentially raise the second semiannual payment?
Nikolas Tsakos : That's what we've been doing. We always have the first dividend, is the result of the year we just had, the year we just reported, and it was $0.60. Last year we maintained exactly $0.60 for the July semiannual dividend. And if you recall, last year in December we upped it, because the market was very, very strong to $0.90. Hopefully, we can do the same having such a big backlog of employment, and at least have the same dividend. So that's what we do. We have our strategy meeting in October. By that time we have a good view of -- the first 9 months of the year. And as we did last year, we hopefully we can do another $0.90 or even more. But let's speak -- so that's how we operate.
Climent Molins : Make sense. That's everything from me. Thank you for taking my questions.
Takis Arapoglou : Thank you.
Operator: [Operator Instructions] Our next question comes from Poe Fratt with Alliance Global Partners. Please proceed with your questions.
Poe Fratt : Just two quick ones about operating, the operating stats I think Harrys mentioned he had 15 drydocks in the 2024 timeframe. How many do you expect in 2025? And then also it looks like your G&A expenses were up in the second half of the year. I think because of incentive comp. Can you give us sort of an idea of how the 2025 G&A expense line looks?
Nikolas Tsakos : We are looking almost at the drydock month, which considering that we operate at least in the water of 60 vessels. That's what you would expect. It's a five-year cycle sometimes when the ships are built, I mean it is kind of not hard for someone to figure it out, because it's every 5 years since the vessels. If a vessel is built in 2010 you will have 15, 20 and 35 are special surveys. And as far as we expected G&A to drop significantly. We had the pleasure to distribute a big number of, or a significant number of service, to our personnel on the ships and in our offices last year. And I think that has created a good team feeling for them. So they are all now are trying to make sure, we get the share price back to about $20, which it should be.
Poe Fratt : Okay, thank you.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Mr. Nikolas Tsakos.
Nikolas Tsakos : Well again thank you for listening in. It has been very exciting and one of those game-changers, as a lot of the international maritime and financial press has called those transactions going forward. We tend to do this every now and then, to put the company to its next phase but we will do it prudently, and without putting the house for sale. The company is very well funded. The company can even do a similar transaction going forward, without having to raise extra equity. And we are in an environment that the underlying day-to-day market is growing, is maintaining strength. Right now the Aframaxes -- I have my son, he's 22 and he's training to be a broker in one of the famous broker's houses. For him it's very exciting to see that the winner of this week are the Aframaxes. So Aframaxes today are in the 70,000 range. So the ones who have in profit sharing was down in the spot, are really enjoying that, but Suezmax is not far behind in the 50,000 range. Last week the VLs were in the 50s. So it's a very, very lively and strong market with rates being well accretive, mainly for companies like that that have a low cost and a low breakeven. So we're looking at a well-balanced market. The geopolitical events around the world, starting with the Houthis attacking the world split, and I think the very good defense of the United States and Greece and all the allies that are protecting our suppliers, are going to open up further, hopefully our oceans. And of course the increased part of the presence of a decaying gray fleet. And we've seen two incidents in the last month of gray ships actually being abandoned and creating -- or putting environment in danger and the market allows Main Street shipping companies like ourselves, to enjoy healthy rates going forward. And again, just to reiterate that 60% of our business is done by Exxon or largest client, followed by Equinor, followed by Chevron, Total, Petrobras of course, and BP. So we are, in a sense, the floating pipelines of very, very demanding end users and we are getting rewarded for that. And hopefully, we will see this reward move to a surprise like it was last year. And with that, I would like to thank all of you for listening in. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.